Operator: Good afternoon. Welcome to Airgain's Second Quarter 2025 Conference Call. My name is Ina, and I will be your operator for today's call. Joining us today are Airgain's President and CEO, Jacob Suen; and CFO, Michael Elbaz. As a reminder, this call will be recorded and made available for replay via a link found in Investor Relations section of Airgain's website at investors.airgain.com. Following management's prepared remarks, the call will be open for questions from Airgain's covering analysts. I caution listeners that during this call, Airgain management will be making forward-looking statements about future events as well as Airgain's business strategy and future financial and operating performance. Actual results could differ materially from those stated or implied by these forward-looking statements, future risks and uncertainties associated with the company's business. These forward-looking statements are qualified by the cautionary statements contained in today's earnings release and Airgain's SEC filings. This conference call contains time-sensitive information that is accurate only as of the date of this live broadcast, August 6, 2025. Airgain undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call. In addition, this conference call will include a discussion of non-GAAP financial measures. Please see today's earnings release for further details, including a reconciliation of GAAP to non-GAAP results. Now I'd like to turn the call over to Airgain's CEO, Jacob Suen. Thank you. Please go ahead.
Jacob Suen: Thank you, operator, and hello, everyone. Airgain entered 2025 with a clear strategy to scale our growth platforms, strengthen our existing markets and maintain disciplined operational and financial execution. In the second quarter, we put that strategy into action, delivering sequential revenue growth, reducing operating expenses and achieving key milestones that set the stage for second half profitability and growth inflection in 2026. Today, I plan to cover 3 key topics. First, our second quarter business performance, including trends in our consumer, enterprise and automotive markets. Second, progress on our growth platforms, AirgainConnect and Lighthouse with an update on milestones, customers' traction and the timing of certifications and deployments and finally, our strategic outlook, including our path to profitability and the 2026 growth inflection of our platforms scale. Let me start with our operating environment in existing businesses, which forms the foundation of our strategy. The tariff environment remains fluid, but we have not experienced a material impact on our gross margin or end customer demand. Our [ published ] model supported by 7 global contract manufacturing partners gives us flexibility to navigate this challenging environment while maintaining a lean cost structure, an important advantage as we focus on profitability. Our existing markets remain stable and relatively predictable. In our consumer market, Wi-Fi 7 shipments to Tier 1 MSOs including a leading U.S. cable provider that launched its Wi-Fi 7 offering in April, continued to ramp in the quarter. Demand is normalizing at healthy levels, well above the 2023 trial, providing a stable revenue foundation. At the same time, we are investing in the growth areas within this market to expand our customer base and capitalize on the long-term connected device trends. In our enterprise market, Airgain's NimbeLink embedded modem line was a strong performer in Q2 and is well positioned to maintain its momentum in the second half of the year. Adoption has been highest among industrial IoT system integrators who need a turnkey cellular solution that simplifies certification, reduces engineering effort and shortens time to market. We have seen the greatest success in utility infrastructure monitoring, including energy management, oil and gas and electrical grid applications. Additionally, in June, we launched our Skywire Cat 1-bis embedded modem, pre-certified for end-application use and designed to streamline IoT deployments by reducing certification hurdles and accelerating IoT deployment timelines. This innovation broadens our reach in industrial IoT markets. Conditions remain soft in our automotive aftermarket and asset tracking markets. Aftermarket antenna sales growth continues to be weighed down by channel inventory overhang, which we expect to persist through the second half of the year. Asset tracking sales have also moderated this year, reflecting a lack of traction on key projects. Our revenue in this area is now comprised of orders from existing customers along with stable recurring revenue. Together, these existing markets provide a steady revenue foundation enabling us to drive our growth platform initiatives. Now let's turn to AirgainConnect, our mission-critical mobile connectivity platform. AirgainConnect, AC-Fleet combines an integrated 5G modem Wi-Fi 6 router and high-performance antenna to deliver reliable broadband for utility and public safety fleets. AC-Fleet is progressing to key carrier certifications, which are essential for unlocking larger Tier 1 in government opportunities. We continue to make important progress on this platform. In May, we achieved FirstNet Trusted certification for AC-Fleet, a critical milestone that opened access to FirstNet's dedicated public safety network, accelerates procurement with government and municipal agencies and serves as a key gating factor for large-scale utility and first responder deployments. In short, this moves AC-Fleet from pilot programs to being fully deployable in mission-critical environments. In June, we introduced the AirgainConnect Go-Kit Pro, a rugged TCA compliant 5G mobile connectivity kit with a built-in battery Wi-Fi 6 GPS and multi-carrier easing. It is purpose built for first responders and remote teams, enabling secure broadband deployment in seconds and complements AC-Fleet by extending connectivity beyond the vehicle to field and temporary operations. Also in June, we secured a new Tier 2 utility deployment with a Mid-Western electric utility, marking another AC-Fleet win in demonstrating the value of our AC-Fleet solution to the utility market. This market values AC-Fleet for its ability to provide real-time connectivity to crews in the field, improve situational awareness during outages and emergency response and reduce the cost and complexity of network installations across widely distributed fleets while multiple Tier 3 customers have deployed AC-Fleet. This is the first Tier 2 customer deploying AC-Fleet today as part of its fleet modernization initiative. As I have shared on prior calls, the AC-Fleet sales cycle varies by fleet size and directly impacts the timing of revenue recognition. Tier 3 customers under 50 vehicles typically move the fastest with a sales cycle of roughly 3 months, providing near-term revenue opportunities. Tier 2 customers 50 to 500 vehicles, generally takes 6 to 12 months from engagement to deployment. Tier 1 customers, over 500 vehicles have the longest cycle, 12 to 18 months and often require a formal RFP process. We currently have roughly 40 sales opportunities in our pipeline with a primary focus on the first responder in utility markets. Net of our design wins in Q2, our sales opportunities pipeline grew approximately 20% in the second quarter. Our strategy is to maintain a broad, well-balanced pipeline that positions the platform for meaningful scaling in 2026. We remain on track for T-mobile priority 1 certification in Q3 for the Verizon Frontline certification in Q4 2025, and European certification in Q1 2026, all of which expand our addressable market, open access to Tier 1 and government contracts and enable larger multi-fleet deployments. Customers are selecting AC-Fleet because it is a true all-in-one solution with integrated eSIM technology, simplifying installation, enabling seamless carrier switching without power changes and lowering total cost of ownership for utilities, law enforcement and emergency response agencies. This eSIM capability is a key differentiator, giving fleet the flexibility to select the best available network and maintain connectivity in mission-critical scenarios. We are also investing in AC-Fleet's go-to-market strategy, strengthening our marketing efforts and participating in industry events such as the FirstNet from T-Mobile fleet in Verizon line. Our multipronged sales strategy of expanding our dedicated fleet force sales team from coast to coast, identifying [ VAS ] in working closely with our distribution partners are designed to accelerate trial conversions and drive platform adoption into 2026. Turning to Lighthouse. Our 5G smart network repeater platform serving both U.S. and international markets. Lighthouse delivers a unique connectivity solution for expanding 5G connectivity and uploading capacity when networks are underutilized. Lighthouse stands out by significantly reducing the total cost of ownership compared to traditional micro and macro cells with the capability to be deployed in hours rather than months. Lighthouse offers a cost-effective, low complexity and environmentally sustainable solution, especially with its solar-enhanced package. Our go-to-market strategy is dual prong. Internationally, we collaborate closely with mobile network operators like Omantel, where sales cycles typically extend 12 to 18 months from design to deployment. In the U.S. we are initially targeting system integrators that serve enterprises where the sales cycle can be significantly shorter. This approach allows us to generate revenue sooner while establishing long-term relationships with MNOs for larger network-wide deployments. We are actively investing in the U.S. market, including the hiring of a dedicated business development leader to expand our system integrator network. By working with system integrators, we aim to address both outdoor and indoor connectivity pain points, accelerate deployments and create a more predictable domestic revenue stream. We are scheduled for multiple trials by the end of the year across several regions, including the U.S., Latin America, Southeast Asia, Europe and the Middle East. Our focus remains on completing certifications, conducting and converting trials to design wins and design stages in scaling our channel and sales infrastructure for broader adoption. With that, I will hand the call over to Michael for a deeper review of our second quarter financial results. Michael?
Michael Elbaz: Thank you, Jacob. Before I dive into the numbers, I will note that my remarks refer to non-GAAP figures unless otherwise indicated. Reconciliations to GAAP results can be found in today's earnings release. Second quarter revenue came in at $13.6 million, slightly above the midpoint of our guidance and up 13% sequentially from the first quarter. Breaking this down by market. Enterprise revenue was $7.2 million, increasing $2.8 million sequentially. The growth was driven by strong demand for embedded modems and custom IoT solutions, specifically by end customers in the utility infrastructure monitoring market including energy management and electrical grid applications. These customers can focus on their core expertise while accelerating their product development timelines with our modem solutions. Consumer revenue was $5.6 million, down $0.8 million sequentially, consistent with our expectations following the inventory pull forward tied to tariffs in Q1. Demand continues to normalize at healthy levels, providing a stable baseline for the company. Automotive revenue was $0.8 million, down $0.4 million sequentially, reflecting softer demand. Second quarter non-GAAP gross margin was 43.8%, down slightly from 44.3% in Q1. On a year-over-year basis, gross margin increased 230 basis points, primarily driven by improved enterprise product margins. Second quarter non-GAAP operating expenses were $6.5 million, lower both sequentially and year-over-year, reflecting continued OpEx discipline. Adjusted EBITDA improved to a loss of $0.4 million compared to a loss of $1.2 million in Q1. Q2 non-GAAP net loss was $0.5 million or $0.04 per share. We ended the quarter with $7.7 million in cash and equivalents, up $0.3 million sequentially. This increase reflects disciplined working capital management, underscoring our focus on cash optimization as we drive second half profitability. Year-to-date, we received $2.1 million in net proceeds from the employee retention credits we applied for 2 years ago. The ERC credits helped offset the impact of $1.8 million year-to-date non-GAAP operating loss on our cash balance. Looking ahead to the third quarter, we expect revenue in the range of $30 million to $50 million, with a midpoint of $40 million, representing approximately 3% sequential growth. We expect the sequential growth will be driven by initial contributions from our platform products, including AC-Fleet and early Lighthouse alongside a stable existing business in consumer and enterprise. AC- Fleet revenue in Q3 is expected to come from Tier 3 and initial Tier 2 deployments, while Lighthouse will begin contributing modest revenue from early international trial conversions. These early platform contributions are expected to build through the second half of the year and set the stage for meaningful scaling in 2026. We expect non-GAAP gross margin for the third quarter to be in the range of 42.5% to 45.5% or 44% at the midpoint. We do not anticipate a material impact from tariffs, although this environment remains fluid and may result in supply chain disruption costs. We expect Q3 non-GAAP operating expenses of approximately $6.1 million, reflecting a sequential decrease of roughly 6%. The projected decrease reflects expense realignment within our existing product lines and a decrease in G&A expenses. At the same time, we continue to invest in sales, marketing, engineering and customer support to advance our growth platforms. Our first half non-GAAP engineering expenses decreased by 18% year-over-year. Within that, we estimate the engineering expenses for our existing product lines decrease by approximately 50%, while investment in our AC-Fleet and Lighthouse platforms increased by about 45%. Similarly, first half non-GAAP sales and marketing expenses increased 5% year-over-year, reflecting a roughly 20% decrease in our existing product lines and a 70% increase in our growth platforms. We expect this realignment of expenses between existing product lines and new platforms to continue in the second half of the year. At the mid-term of our guidance, we expect positive adjusted EBITDA of approximately $0.2 million and positive non-GAAP EPS of $0.01 per share. Now I will turn the call back over to Jacob for his closing remarks. Jacob?
Jacob Suen: Thank you, Michael. Looking ahead, our priorities are clear. We expect sequential revenue growth and a return to profitability in the second half of 2025, driven by a stable base in consumer and IoT modem sales, initial contributions from AirgainConnect and continued OpEx discipline. As we move into 2026, we expect our platform revenue to scale meaningfully as certifications are completed, global trials convert to deployments and customer budgets are released. Airgain is well on its way to transforming from a component supplier into a platform solutions provider. I want to recognize the strength of our broader leadership team. This highly experienced resource-driven group works together to execute with discipline, engage customers strategically and position Airgain for long-term growth across both domestic and international markets. I would like to especially welcome Gordon Schenk, our new Senior Vice President of Global Sales. Gordon brings more than 25 years of experience in high-technology sales and organizational leadership, including prior CEO and executive roles, driving significant growth in strategic partnerships in the energy and technology sectors. His expertise will be instrumental as we expand our global reach and deepen customer engagement. And finally, I want to thank our employees, partners and customers for their commitment and support. We remain confident in our road map, our execution strategy and our ability to deliver sustainable growth and long-term value creation. That concludes our prepared remarks, and we are now ready to take questions from our covering analysts. Operator, please provide the instructions for the Q&A session.
Operator: [Operator Instructions] And your first question comes from the line of Anthony Stoss from Craig-Hallum.
Anthony Joseph Stoss: Jacob, I wanted to focus on, I think you said there was 40 sales opportunities for the AC-Fleet product. When I sat down with Michael a couple of weeks ago, I saw the product was pretty slick, actually. So can you kind of just confirm the 40 opportunities there and how long you think some of those sales will take to either convert or not.
Jacob Suen: Tony, yes. So all of these 40 opportunities, these are qualified opportunities already by the sales team. So they're actively engaging with the customers. And I would say about 10% to 15% of these 40 opportunities are the Tier 1 opportunities, the bigger size that's going to take longer. Although some of these opportunities, it's only been happening for several months. And I would say roughly about 30% or so is going to be what we call the Tier 2 opportunities, and one of them will really convert during the quarter. The rest are the Tier 3, which are smaller deals that we are actively pursuing and closing and those are the ones that are going to be more immediate. Now to appreciate the fact that you check the device, and I'm sure that you're really impressed by the size and the feature-rich capabilities of the AC-Fleet, and that's the kind of feedback we're getting from the customers as well. They also really enjoy the performance. So all in all, we feel very optimistic about the product and that's why we're really expanding our investment in sales and marketing. We are much more entrenched with the partners. But what we're also seeing is that it takes time when it comes to certification, right? And one of the reasons it's because of some of the unique features that we bring to the table. For example, we were very pleased about the AT&T FirstNet Trusted certification was a certification that took us almost a year to obtain, and we were expecting only 6 months. And one of the main reason is the new eSIM feature, which they don't even have the script to do the testing. That's why some of the delay was because of the added unique features that we are now bringing to the market with AC-Fleet, but all in all, we are encouraged by the progress, although we're seeing the bigger deals are going to be happening, likely closing the deal but more about deploying in the field in 2026.
Anthony Joseph Stoss: Got it. And then maybe if I could throw a question to Michael. I'm not looking for a guide, but just kind of give us your thoughts on the December quarter. Typically, it's up sequentially. You think it's going to still be up sequentially? Or do you think it's going to be up significantly? Like what do you see in the pipeline that would impact this number?
Michael Elbaz: Tony. So Q3, Q4, as Jacob mentioned, I think we're going to benefit from a relatively stable existing markets. There are some puts and takes on that. Definitely, the consumer market, the embedded modem market are definitely the bright spots. On the consumer, the Wi- Fi 7 transition is currently very much underway, another T1 MSO has launched its Wi-Fi 7 offering. So this is giving us quite a bit of confidence that we'll see that market recovery that we've been talking about really underway and pushing through FY '26, especially as well as the embedded modem, we do see quite a bit of traction with that utility monitoring sector. As Jacob mentioned, the automotive market, we still are hanging on to that excess inventory and also the asset tracker as well too. We do sense very much of a cautious environment with especially government agencies. That's what we're seeing right now on this excess channel inventory, some of the end customer deployment being delayed. And so while we are optimistic about 2026, in 2025, we're still monitoring that very carefully as well too. So what remains is really on the Lighthouse and the AC-Fleet that is our full focus, I mentioned on our OpEx discipline. Those are the 2 markets that we really are focusing to invest on the sales marketing channel itself the overall engineering certification and just trying to make as much headway as possible. And so the visibility on that all depends upon those Tier 1 and Tier 2, which is really our focus right now as a number of the trial that takes place on that. So I would say, relatively stable. Hopefully, some small but steady increase, but we're looking at FY '26 to really scale meaningfully on those.
Operator: [Operator Instructions] There are no further questions at this time. I will now hand the call back to Mr. Jacob Suen for any closing remarks.
Jacob Suen: Thank you all for your thoughtful questions and for your continued interest in Airgain. If I were to leave you with 1 key takeaway from today's call, it is this, Airgain is a more focused, disciplined company positioned to achieve profitability in the second half of 2025 and to scale meaningfully in 2026 as our platform opportunities convert to revenue. Operator, you may now conclude the call.
Operator: This concludes today's call. Thank you for participating. You may all disconnect.